Operator: Ladies and gentlemen, welcome to the DSV Interim Financial Report for the First Quarter 2017. Today, I am pleased to present the CEO, Jens Bjorn Andersen, and the CFO, Jens Lund. For the first part of this call, all participants will be in listen-only mode and afterwards there will be a question-and-answer session. Speakers, please begin.
Jens Bjorn Andersen: Yes, good morning, everyone, welcome to this webcast and conference call, where we're going go through the Q1 numbers of the 2017, Jens Lund and myself. We're pleased to welcome you to the conference call. If we go straight into the presentation you will see the disclaimer on Page Number 2, and having with that we can maybe go to Page Number 3, which is the agenda for this morning. First I will go through the highlights of the previous quarter, talk a little bit about the business units that we have and after that Jens Lund will go through the financial review and also talk about the revised outlook that we have given this morning for the whole of 2017. As normal we will conclude this morning's presentation with the Q&A session, and if I can just please remind you to restrict yourself I know it can be difficult, but restrict yourself to posting only two questions and please do not post questions that has already been put to us. So taking into the presentation on Page Number 2, you will see the highlights on the previous quarter Q1 2017, we begin by saying that the integration of UTi is progressing according to plan, we were very pleased about that. We did promise a lot of things to you guys during 2016 and it is of course very nice to see these nice plans being also transformed into the P&L now we can see the clear effects of the acquisition of UTi now in our numbers and we are extraordinary pleased about that fact. It's important for us very early also in the presentation to flak the fact that we have a positive impact from a gain related a property transaction of approximately DKK 125 million, which affects both the GP and the EBIT in our Road division we can see that later on in the presentation when we get to the Road division. We see a clear impact also on the gross profit, which has increased 17% and the EBIT before special items in the quarter has increased 76% and if you exclude the one-off again it is a healthy 56% you of course have to remember the fact that when you compare Q1 to Q1 2016 we only have the privilege of having the UTi in the numbers last year for two months as we did the closing around the first February, so we're missing a month in Q1 2016 hence we have some of that growth come from that fact. The financial gearing is moving in the right direction, we have very pleased about that. It's going down an absolute terms the debt and the EBITDA is increasing, so the ratio is now at 1.6 so soon we will be in the range that we have an aim to be in which is between one and one point five times net interest bearing debt over EBITDA. As a consequence of primarily the property transactions we take the opportunity to fine tune and lift the outlook for 2017 going from an EBIT range of between DKK 4.2 billion and DKK 4.5 billion to now a new outlook, which is between DKK 4.3 billion and DKK 4.6 billion for the full year 2017. Just on a small note it is also good to see for a change that the effect from FX is almost zero in the quarter it is relatively limited as you can see on the illustration to the right hand side of Page Number 4 that it has only to a very limited degree affected both the gross profit and the EBIT so it is easier to compare year-on-year. Going to Page Number 5, it is really a pleasure to see a very, very, we feel very, very strong development of the Air & Sea division that grown the earnings almost 67% and again please remember one extra month of UTi compared to Q1. Regardless of this fact it is really a fantastic result we feel a big thank you should go to big part of the organization a lot of concerts have really outperformed also down expectations, and we're very happy about this, so it's a strong result, which actually picked up during the course on which is also not unexpected the end of Q1 was significantly stronger than the first part which is also normal. What pleases us very modest is also to see that the GP per unit improved sequentially in a somewhat challenging environment and the airfreight was even better also year-on-year when comes to the yields, so that's good. Of course looking at me at the margins delivering already in Q1 and EBIT margin of more than 8% and conversion ratio surpassing also 30% actually been close to 33% is really a very strong and very encouraging sign for us in a quarter, which would normally not be characterized as one of the best quarters Q1 is not the best quarter normally, so very encouraging signs. And I think it's a result that the whole Air & Sea operation can be very proud of. What has our focus in the division now is of course to finalize the integration of UTi it still remains to be done in a few areas, and then it's just about sales, sales and sales, we need to intensify our focus on gaining market share and use the new strengths of these also to take market share. The markets were strong in the quarter it was very good to be able to see that the market for seafreight grew an estimated 4% and the market for airfreight growing health 6% which of course is a foundation also for us for strong results, so overall very, very good also market conditions in Q1 for Air & Sea. Going to Road on Page Number 6, we also saw a very satisfactory result in Road, a good momentum gross profit on EBIT as I said was affected by a gain from property transactions of DKK 125 million. And even if you exclude that the EBIT 16%, we have to take into account the effect of Easter we had no Easter in Q1 this year and that was the case in 2016 where we did have Easter holidays in Q1. We estimate that which is approximately DKK 20 million between the quarters, which of course impacted us on a positive note this year. So also strong set of numbers from the Road guys good momentum, we see could developments in most parts of Europe. Very strong results in Scandinavia maybe a part from Norway, Germany doing extraordinarily well and also UK despite of the Brexit also very strong results in the UK and actually it's a pleasure also to see that some of the southern European countries maybe with Spain in the lead doing fantastically. The shipment count was growing at 12% in a market that only grew 3% and if you exclude the impact from UTi namely South Africa and the US. We grew the volumes 8% in Europe, in the Road division and I think the Road guys can also be really proud of what they have achieved in Q1. So before I hand over to Jens Lund, I will just take you through on Page Number 7, the Solutions division, in absolute terms one could probably say are not the biggest improvement, but when you look at the marginal or the impact or the growth in EBIT it is actually over 40% and it is absolutely in line with what we had expected Q1 is traditionally if you go back and analyze the numbers the weakest quarter still relatively fixed cost based basis in certain parts of the Solutions division. So we can be also happy with the numbers, the margins are not the highest in the quarter, and we do expect them to grow in the future and for the rest of 2017. But the division has grown from DKK 47 million to DKK 66 million in EBIT in the quarter and also we have good developments and we have a big potential also for future improvements if we manage to improve the situations in some of the new areas that we are in. So we're also very optimistic and also it's a pleasure to see that the Solutions division is following the plans and we're also a big thank you. So that was it from me, for here the initial part of the presentation now on Page Number 8 Jens Lund will take over on the financial review.
Jens Lund: Thank you Jens Bjorn, and we will jump right in towards we just made a small note that we have to remember that UTi was only included in February and March in the comparable figures when we look at the numbers. So if you look at our GP 17% excluding the one-off the transaction actually up 14% so we of course very pleased about this. If we then look at what is even more important is how much of growth profit that we create do we get to keep, and here we can see that we have grown this was staggering 75% on the marginal conversion rate or if we exclude the property gain we've made almost growth in the GP of DKK 500 million and here we keep 74% in EBIT, and is really demonstrates that what we have presented in as PowerPoint plans initially when we entered into UTi transaction now materializes and we can now find it in the so-called accounting as well. This is of course, very important thing for us in DSV, we always talk about from PowerPoint to P&L and here you can see that is certainly materializes. If we take the special items we follow the plans under special items you can see that we spend less and less efforts on the restructuring costs it's mainly FTE related cost plus of course certain facilities that we have to pay to get out of, but we are slowly, but steadily climbing away through the remaining part of the integration. When we look at the financial costs they are little bit above the sort of run rate of approximately DKK 75 million per quarter, which is due to FX related adjustments and we will see that there will be certain FX adjustments on the interest costs that’s nothing we can do about in that. Not least also here in UTi because we have not done all the legal restructurings we need to do and some of these open restructurings will affect our FX was sold unfortunately. If we look at the tax, it's also a little bit on the low side, this is due to property related income as a lower tax percentage, so this impacts our tax in a positive way. And we certainly can confirm that we will stick to the tax guidance we have given also on the little bit longer term. When it comes to the margins, I just made a small note here that basically our operating margin or EBIT margin is around 5.5% excluding the property transaction. So we are slowly, but steadily heading towards our old margin that we used to have prior to UTi and this was sort of the first milestone in our plan and we will then go for long term financial targets after that. On the headcount some of you have asked, why is it that we've not reduced the headcount and here you have to bear in mind that we made an adjustment on the way we count because the UTi headcount was not counted in the same way as we did in DSV and that was done in Q3, so if you had these approximately 2000 FTEs you can see that we have been reducing the headcount dramatically. If we skip to Slide 9, we can talk a little bit about the EPS and the development here we can see that we have grown compared to 2016 and then the 2017 numbers is on a 12 month rolling basis the way we have calculated as we have grown EPS 12%. And a quarter-by-quarter basis we’ve actually grown our earnings per share was 52%. And on a final note, one make M&A get many people always worried about whether we dilute our earnings and you can clearly see that this is not the case, it is adjusted earnings per share we're talking about so you have to bear in mind that our one-off items are stripped out. You can move to Slide Number 10, there's a few issues to talk about on Slide Number 10, one of them is of course the networking capital, where we have a higher level of working capital than we've experienced sort of prior to UTi. There as few explanations that we have to take into consideration. One of them is, that we have integrated UTi and we are still not all our work flows are not 100% as they should be, so there's still some work to be done on the collection side. Another thing is of course, this is melted very high months in March, so this impacts the numbers as well used came in April. And this impacts as a little bit and then on a final note there's also some property constructions that we have underway that have tied up some working capital. So if we adjust with these things, we feel that we have the situation under control, but there's still some ground to cover. I think if you look back at the AVX transaction, we also experience that it took a couple of years before we got this fully under control and then got to the target levels that we had at that time. And gearing Jens Bjorn already touched upon at 1.6 times and of course, we see that it is moving fast now when we see the synergies materialize and then we repay debt this certainly changes a number fairly quickly, and we had guided that if we didn’t spend the money for M&A we would be able to distribute capital to our shareholders in the second part of 2017 and this is very much the case when we look at the numbers. If we move to Slide Number 11, on the outlook, Jens Bjorn already touched upon and we’ve raised our EBIT guidance and basically kept the guidance on only other items as is. Some of you have asked should you not raise your guidance for adjusted free cash flow and we’ve said well it was as it headed for sale, so we actually had planned this and then there’s also been a question well then at least for the gain and we think if we guide 3.5, it’s out of approximately 3.5 that can be a little bit above or a little bit below. And it’s fair to say that we are now more firm under 3.5 than we were before, I think that’s how far we will give on this one. When we look at the economy that is the assumption for these estimates, it’s clear that it is the current global economy and the growth estimates that’s still form the foundation. We have seen high growth in particular in airfreight, but we think this is probably not going to be as high in the coming quarters there’s been some bottlenecks and things that had to be straightened out via airfreight. So we stick to the current guidance. This was basically it from me, so now Jens Bjorn and I will be happy to take your questions and on Slide Number 12 you can see how you can get into the tune. So please go ahead.
Operator: Thank you very much. [Operator Instructions] Our first question comes from the line of Lars Topholm of Carnegie. Please go ahead. Your line is open.
Lars Topholm: Yes. Thank you and congratulations with another extremely strong quarter. I thought of asking 10 questions wrapped into two, but I’ll stick into rules are just two questions from my side now. Regarding yield so the first question in Air & Sea your yields are up sequentially and in the year actually up, can you comment a bit on how that yield momentum was through the quarter and also yields have been holding up in the beginning of Q2?
.:
Jens Bjorn Andersen: Thank you, Lars. Good questions. Let me start by stronger little bit about the yields, it’s correct that we also did see smaller deterioration or pressure on the profit per units. We’ve seen extremely volatile development on the freight rates as you know, and I think it is fair to say that we are maybe a little bit conservative in DSV and we are very cautious about giving long term commitments, and we’re not put in this world to speculate in how the future rate development is going to develop. So it was extremely good to see that we could kind of see it was we were not happy, because we did see a pressure, but it was something that we had expected. It actually the situation improved or normalized a little bit throughout the quarter. So we actually came off with the fairly good development. As I said, March was a significantly stronger than what we saw at the beginning you shouldn’t put too much emphasis on this is normal seasonality. January and February are not always very good months. So I think it was nice to see, and it was what you say what we had expected also, we have been trying to protect the margins we see that as an asset of course the DSV and then we will do everything we can to protect that. So you…
Lars Topholm: So does that mean Air & Sea yields right now or I mean not looking ahead, but what you’re seeing right now higher than in Q1 on average would that be a fair interpretation?
Jens Bjorn Andersen: I guess it’s something you will have to wait a little bit approximately three months to see. In the quarter we did see a slight improvement, which was yeah, it was good to see. We were happy to know that was the case. In Road, you’re right we did impact the numbers with the transactions of Road. It is a little bit disturbed by some new activities coming in from both South Africa and the U.S. also which has changed the profile a little bit in terms of number of shipments, also we have had very good momentum in some of the Scandinavian countries, where we have been gaining a lot of business on the domestic market, which is a very high volume market, but also where the market with the very, very low GP margins. So I wouldn’t be too concerned - having said that we have also tried to indicate that it was good to see a stable stabilization than in the gross margin. And I think that it would be fair to say that if you had just for the property transactions we are at 17.1 in a very weak normally very weak it’s even more extreme in Road with January and February being very, very slow. So if you assume that we will be somewhere between 17% and 18% on the GP margin going forward with the new accounting rules, we seen we haven’t DSV, I think it’s a fair assumption that you can use.
Lars Topholm: Thank you very much. Thanks for taking my questions.
Jens Bjorn Andersen: Thank you. You’re welcome.
Operator: Thank you. Our next question comes from the line of Damian Brewer of RBC. Please go ahead. Your line is open.
Damian Brewer: Good morning, everybody. Two questions from me then please, first one, can I just come back to the working capital, I mean both of the Q4 and at the Q3 stage you particularly highlighted some pressures and some changes needed in the Solutions business, that seems if had the most expansion in working capital must DKK 1.1 billion in Q1. So could you talk a little bit about how far along the Road you are always addressing those client issues particularly the more capital consumptive clients and how long that will take and what you think a normalized sort of capital - working capital intensity for the Solutions businesses? And then can I just turn to the growth and again on the working capital comments that you set an employee that through the business accelerated in March, in terms of volumes and therefore would I suspect to be more working capital consumptive. But can you talk a little bit more about how you think about positioning DSV going forward, if you go higher base volume, do you need more staff and place and therefore there less special items to be taken out or effectively we still focus on taking out the full cost effective including staff and trying get operating leverage quicker, but maybe at the risk of cost build later. Can you talk a little bit more about how you’re thinking of that? Thank you.
Jens Lund: Well, I think, I will answer the question about the working capital first. I think first of all when you look at the comparable figure last year. That might be that and some of the things were not reported in the right division or in the right area in Q1. But it’s also fair to say that solution is too high on the working capital and as in particular one operation where we are looking into this. It’s good - we had a deal on it, but it’s been postponed and now we are sort of basically reinforcing the arrangement that we had and it will take a little bit longer time to get so we will have to wait until 2018 before this matter is fully resolved. On top of that there are some issues in the Solutions division also in all areas, but we should be able to get below the DKK 500 million mark in Solutions once we've got these things adjusted. Then if we take the fact that we have tied up DKK 300 million to DKK 400 million in certain facilities we investing in Road and then basically the normal seasonality then we should fairly quickly get to the DKK 1 billion mark and this is that we can reduce working capital, so there are certainly some ground to cover on this and we need to get it even further down, but these are sort of the initial plans that we have when it comes to work in terms of. When we then look at the integration and whether we can speed up some of the things that we are sort of executing on and that we have in our plans it's - I think it's fair to say that basically we speed up all the things that we can, but certain issues involve infrastructure and it might be IT infrastructure as not also the physical infrastructure, and there's sort of a limit to how months we can move will respect to these two things. So we will see that during the course of 2017 we will finalize the things that we're working on, but I don't think we can do it much faster.
Damian Brewer: Okay.
Jens Bjorn Andersen: Maybe I could just elaborate a little bit on that, it's a very clear to say that we have a very, very outspoken aim and that is to take market share gains during 2017, of course as we talked about in Q4 you have to do the selling before in advance before you would see reflected in the numbers, so there's a delaying effects if you know what I mean and we want to see very much what we did see prior to buying UTi that the incremental conversion ratio should be higher than the average conversion ratio, and we've also very clear degree as Jens described earlier. Seeing that in Q1 and we expect that to be the case also going forward for the first many, many quarters, we will have operational leverage opportunities for sure we can still fine tune the machinery and optimize the way that we operate, we are nowhere near or to say that perfect situation. So we aim to get back to what we did before buying UTi.
Damian Brewer: Thank you. Can I just follow on just clarify two things, first of all, in the Solutions business, what cause to do it on one of the more working capital consumptive clients to be postponed, and then just come back to the volume issue, just be clear you're still aiming on reducing SG&A headcount by the same amount, just remember going back to earlier 2009 it was either, so you didn’t want to pay people to leave early to sort of pay them to come back later when the volume recovered?
Jens Lund: I think if we take the deal with this particular customer it was postponed due to some changes in the operations which they had you know extraordinary growth and therefore they couldn't execute on the plan that we had with them. So now this is back on the agenda and we will continue to make it clean relation to this, there will be a small improvement for the summer holiday and then we will take it gradually as we move along. Then in relation to taking hit count out I know our competitors they have often had these ideas that we leave too many people in the operation, and when they don't have to rehire, again I think we look as that little bit different, I think we try to right size the business, so that we get the productivity up and then when you have gotten our productivity up and there's extra demand. Then this is really why you will see what is to max capacity you have in your infrastructure because the normally with the processes we have implemented and the improvements we have made, we can see that there's an extra sort of lay our productivity that you only get access to waive your right size your business, otherwise people they tend to get used to doing or producing a certain number of files and we don't maximize it. So we do it a little bit of a different way and I have full respect for our peers they look at it in another way, but we monitor the conversation rate and we think that what we do is actually working.
Damian Brewer: That’s great. Thank you very much, both.
Operator: Thank you. Our next question comes from the line of Finn Bjarke Petersen of Danske Bank. Please go ahead. Your line is now open.
Finn Bjarke Petersen: Yes good morning. Two questions regarding organic growth, one in Road, what is the organic growth in the European business in the first quarter? Secondly, how do you see the growth in the start of Q2 in the Air & Sea? And finally if I may, how do your occasional sales force or effort how do you see that play on your gross profit going forward, as you want to gain market share would that be on the - would that be checking true lower prices or do you think you can grow without any engine sales on price?
Jens Lund: Yes, good questions. If I counted correctly, I think therefore three questions, so…
Finn Bjarke Petersen: Sorry, sorry, I don’t.
Jens Lund: Maybe we can put the Road and Air & Sea and pretend as one question. So the organic growth in Road in Europe was 8% approximately, 8% in the quarter where we did see the market growing 3%, so it was - it was quite substantial and we had a good development in Road. When we look Air & Sea in Q2…
Finn Bjarke Petersen: Just one question Jens, before you could see, is that for working days, it seems like quite?
Jens Lund: It's not working, it's not adjusted for working days, this is the quarter-on-quarter working days would probably be a part 2%, so you could argue it's a good point that the true organic what you say growth is 6% in the quarter, because of the Easter.
Finn Bjarke Petersen: Okay, thank you.
Jens Lund: So it's a good point. And Air & Sea, as we cannot disclose too much about Q2 what we can see is looking at some kind of a port statistics and stuff like that it seems like the momentum has carried into Q2, so there's nothing really very different when it comes to Q2, we hope very much that we will see a continued strong development. Outgrowing the market is not easy without just sacrificing a little bit on the margins, and we have said that overtime we will see a slight decrease in the gross margin, which needs to be offset by productivity improvements, but it's not like we will go out now and fight like a mad man to grow market share, I think it's fair to say that in this we’ve had also going back in time. So I'm statement saying it's profitable growth we will not grow for the sake of growth, it needs to be profitable growth, but we still must accept the fact that new business is carrying ultimately slightly lower GP margin than the existing business, so a small reduction in the GP unit per consignment or GP margin in Road, is likely to be assumed in the future. This is you can extrapolate from what you have seen in the past this is also what we believe will have going forward.
Finn Bjarke Petersen: Thank you.
Operator: Thank you. Our next question comes from the line of [indiscernible]. Please go ahead. Your line is now open.
Unidentified Analyst: Thank you. I only have two questions remaining, so that’s why logging. Seasonality in Solutions you mentioned earlier, can you give some flavor on which verticals it is that affects the seasonality in Solution provides the ups and downs that we are seeing a quarterly in EBIT, that's the first question. And then the same question was a property sales, is that more sort to say in the pipeline that will affect the cash flow here in 2017? Thanks.
Jens Lund: Yes. If we take the Solutions, I think you see a different kind of retail that has an impact, but also some that relate to industrial products and really because many areas they do not start off in the beginning of January sort of on the first, but perhaps if you go to the Scandinavian country is not unusual that the production start round off sort of 6th to 8th of January. And then you have the whole infrastructure you have to pay for. So this is clearly not a good month then you would have February as well, while as few working days in terms we are paid by the number of order lines and we have to full infrastructure February is not necessarily a good month. So really the first good month you would have in Solutions it’s March when you start a year. So it’s quite a depressing sort of division to be in, but you take the retailers and it’s both the wholesale change that you’re looking at, but of course it’s also the direct to stores and then of course the e-commerce people then spent most of their money until Christmas, so little bit less activity. On the property side, I think we had some asset held for sale on the balance sheet also at year end this is of course, included in our guidance, I think it was approximately DKK 800 million we were talking about. And now we have changed some of this into cash with some of the transactions, and there still some additional flow in relation to that. We also have a few properties under construction that has consumed bit of working capital. So we should be able to get an extra inflow up to DKK 0.5 billion and I should say on the on the property side. And this is of course also something that that’s sort of FX 3.5 billion guidance. So when we planned this guidance we did foresee that we would able to collect this money. So this is basically a little bit on the cash flow.
Unidentified Analyst: So that’s okay, because it is included in the guidance the additional DKK 500 million.
Jens Lund: Good.
Operator: Thank you. Our next question comes from the line of Lars Heindorff of SEB. Please go ahead. Your line is open.
Lars Heindorff: Yes. Good morning, gentlemen. Two questions my part as well. Firstly regarding the market in the first quarter here as we’ve been talking about some of the questions some new development additional combining which your volumes. However, looking as the performance some of the peers that have been growing significantly more with significantly worse yield development which may some of point in the relation that there been hunting market share. I’m just wondering if that is something that have affected you during the first quarter, and if you believe that that pattern will affect your going forward. That’s the first one.
Jens Bjorn Andersen: So the question is if we have been affected by our peers hunting for business and growing was actually….
Lars Heindorff: I mean just looking at the numbers it appears that some of the other companies out there which have been growing faster with worse yield, but they might have been hunting market share at least in as you all have been sort of indicating the structure of the same kind of market growth?
Jens Bjorn Andersen: Yeah. It could appear that way, but I don’t think it will be appropriate to comment to more shown on the development of our peers, I mean they’ve run that business and we try to run our best we can. It’s true, but I can say that it’s not like we have there is no particular of our competitors that has strongly attacked our customers we all fight amongst each other, we say business from small, medium and big competitors and sometimes we also unfortunately lose some business, but there’s no clear development, it’s not like we have felt under siege on the pressure and no shape or form whatsoever. I think it is more a continuation of the trend we have seen for many years where the big players they take market share gain from the smaller ones the very heavy investments we do here digitalization and improvement of IT is something that the smaller players they have difficulties matching so to say in the systems the concepts that we can roll out with customers is very different from what you can offer when you are very small player in the market where you have to rely very much on customer relationships on these products, so I think that is what we can say.
Lars Heindorff: Okay. And then secondly, a follow-up question on the conversion ratio just you talk about earlier, could you believe the most specific to you as mentioned do you expect to see an improvement in your conversion ratio is that goes for both Sea and Road or versus just one of the two?
Jens Bjorn Andersen: Both of the divisions have not reached a long term financial targets when it comes to conversion ratio. So until we reach that we will ask the heads of the divisions to do whatever they can so we are to improve the conversion ratio’s, it’s a work which is ongoing every day. And we have of course, these aims they still stand the long term financial targets as ends also illustrated earlier today. We need to first see the margins, we start to what they were prior to UTi, but I must say looking at Air & Sea is growing relatively fast and we’re happy about that. But we do expect them to see improvements in both Road and the Solutions - Air & Sea, I’m sorry division.
Lars Heindorff: Okay. Just as a clarification is certainly the synergy that you’ve achieved in the first quarter from UTi, they only in Sea and Air or they also some of that into some of the other divisions?
Jens Bjorn Andersen: Only Sea and Air, but of course we have seen some in Solutions, I would say also the most to a lesser degree and Road that was only off as you probably know I know have been affected by the UTi acquisition in the U.S. and South Africa. So the largest proportion as a good assumption comes from Air & Sea that is right.
Lars Heindorff: Okay. All right. Thank you.
Jens Bjorn Andersen: Thanks, Lars.
Operator: Thank you. Our next question comes from the line of Casper Blom of ABG. Please go ahead. Your mind is open.
Casper Blom: Yeah. Thanks a lot. It’s my sort of impression that the way you’ve been thinking about 2017 is very much that in the first quarters you will see a lot of facilities filling through and then maybe in the second half focused more on gaining market share. Please correct me if I’m wrong there. And I was wondering if you could share some light on your transparency on those two matters and when it comes to win in markets share in the second half year. Do you have any transparency to how that may go already now, and also with regards to the remaining synergies from the UTi acquisition, is it still so that it was sort of talking about face that have basically been carried out and now just have to feed through to the P&L? That’s it from me thanks.
Jens Lund: I think I’ll start with the synergies and Jens Bjorn can talk a little bit about the growth. I think you are fairly right, that now if we go back to 2016 we started to execute on the integration into Q2 really, that sort of where we initiated a lot of those projects that we have planned. And then we’ve been executing now these plans are most of them and therefore you will also see dramatic impact in here in Q1, Q2 of course even more. And then slowly it will materialize all the things that we have done, so you should get some less impact basically from new initiatives in the second part of the year. So that’s fair assumption and I think that also leads to the fact that our operation they can then focus more externally. And this is really Jens Bjorn is sort of very adamant about the issue called growth and you can perhaps little bit more on that?
Jens Bjorn Andersen: He’s correct. Is the right way to look at our cash, it’s not like we will switch from one day to the growth and don’t misunderstand as we have several thousand sales people who have been selling like also in 2016, but of course they have been very also occupied with explaining the transaction the impact of buying UTI, talking about practical issues with our costumers organizing new ways of booking procedures helping setting up new IT systems, and of course, also some costs must have been slightly reluctance to add more business to us they have had a little bit of wait and see approach wanting us to demonstrate that we could still deliver good service. And I actually believe we can deliver a better service now than what we could before buying UTi and this is what we have to take to the market, now the days of explaining the transaction and all these practical things are almost behind us now, and now we can really go full speed ahead and go out and sell the new DSV to our customers both existing customers, but of course also to new customers. And if we are successful, we do believe that we will see these market share gains feeding through the system in the second half of this year.
Casper Blom: Okay, but is it so that you already now have sort of like you know a pipeline that is lined up with more potential new customers than you had last year or is it is more just short about thing just, but is it more your expectation that now your guys will have more time to do it and therefore they should also win?
Jens Bjorn Andersen: Yeah, it's a combination, I expect that they will have more time and then they sold them disappoint as I would say and then of course, we also have some in our - what you say same store system we do have a much stronger pipeline now, we have just had meetings with the heads of the divisions Jens Lund and myself here in the last couple of weeks. And much more opportunities now which with a bit of luck and materialize, but of course, it's not something we can promise anything, but it looks quite okay I must say with the pipeline.
Casper Blom: Great to hear. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Neil Glynn of Credit Suisse. Please go ahead. Your line is open.
Neil Glynn: Good morning everybody. If I could just also ask two questions then, following on from the last question, just with respect to the sales headcount as you focus on market share gains incrementally in the second half with a lot of the synergy than integration worked on, is your current sales force headcounts positioned for that or will you continue to add as you build up to that period? And then the second question just to delve a little bit more deeply into Solutions, we obviously seeing a large growth profit margin decline quarter-on-quarter into the first quarter and prior to the UTi acquisition, we had seen the gross profit margins fall pretty much every year over recent years booking the trend in 2016, so I’m just interested in your thoughts to do we continue to see degradation in margin from 2017 onwards in Solutions of the gross profit level or how should we think about reaching a floor in gross profit margin and Solutions?
Jens Lund: Also here a couple of very good questions, I’ll kick off the headcount on sales. We normally say everybody with a company DSV the sales representatives, so that goes, of course not only for the sales people, but also the managers who has it. I think we have the right - what you say a set up when it comes to sales, but as you know we are many countries and I cannot exclude the option that a couple of punches they need to hire more people and we will follow the developments if we have a big potential in a country, it can also from adjusted cost benefit analysis, be good to him to hire new salespeople because if they can bring in business reduce substantially more worse than their salary, there should be no limit as to how many you should take in part. We are confident and comfortable with the current headcount, and I think we have what needs to be done to go out and attack the market. And maybe I can just use this opportunity also to say that we have restructured a little bit the approach, we've had to the very large customers, it is now so that each of the divisions they have their own Chief Commercial Officer now, how will drive the business development in the divisions and we already see now a very good development and a very good cooperation now in the division. So we have great hope for this. And now I don’t know Jens if you would elaborate maybe on the margins in Solutions.
Jens Bjorn Andersen: Two things to say about it first of all, you're right the customers say do want more for less also when it comes to Solutions, I think you can see that some of the results for peers as well as. When I’ve said, that there's also something that we have changed a little bit unfortunately some of our countries had reported property cost below the deeply line and we have straightened that out during the course of sort of the last couple of years, and also in relation to UTi, so that we now booked a progress to fast above the line, because it's really part of gross profit capacity we have available. So this has also put the margin a little bit under pressure. I think we still run here now at 25% in the first quarter, so and given the fact that we've also still got some dealings with UTi volume that is not profitable. I do not necessarily see that it is that much under pressure as you perhaps suggest so we would expect our GP margin to be between 26% and 27% when the year-end I should say.
Neil Glynn: That's great. Thanks for the color.
Operator: Thank you. Our next question comes from the line of Joergen Bruaset of Nordea Markets. Please go ahead. Your line is open.
Joergen Bruaset: Thank you so much for taking my questions. Two from my side as well, first of all when you look at Q1 relative to the rest of the year in a historical context pre-UTi and you kind of stuck that up against what you now deliver in Q1and adjust for the 125 one-off item and benchmark that up against the midpoint of your guidance range, its looks to me that is if you're guiding for a more front end loaded here than what you have delivered pre-UTi, but from the color of it, it seems to me that with increased focused on organic growth in the second half of the year. I'm not quite able to bridge kind of those two angles. So basically my question is could you give some color on the facing or the seasonality or what we should expect in 2017 versus what we've seen pre-UTi?
Jens Lund: I think basically if you look at its last several two things to add, I think first of all we've become much more global company. So if you look at this it changes to pattern off the income a little bit typically here we used to have big Q4 that sort of has changed and we now see that income it's spread more out during the years. So that certainly changes something. Then I think also when we give guidance, I think it's very important that we assure we can live up towards, so I think this of course impacts it a little bit, we will get more UTi’s and it progresses, and of course, we need to execute on some of these plants still even if we have some great deal of the work, so that impacts our deliberations a little bit as well. So there can be made many extrapolations on such so the first quarter result and we will also make the relevant adjustments when we are feeling comfortable with it.
Joergen Bruaset: Okay, thank you. So just short follow-up on that, so what would you say is the key swing factors to the current guidance range, is it more the internal factors or if it more if we should see the strong momentum in Q1 volumes predominant in Air & Sea to be prolonged into the second half of 2017?
Jens Lund: I would say both things can swing it we need to keep the focus on integration and as we also touched upon earlier in this conversation I think from the question from Casper Blom, it's very important that we here in the first part of the year have focus on internal praising get it completed and then as Jens Bjorn as also alluded to we need growth as well, and if the market is very favorable, and we deliver on that of course that will also be a good trigger for results that's clear. So if we could have both you know and basically have them in the back then when we have a consideration.
Joergen Bruaset: Excellent. Thank you so much.
Operator: Thank you. Our next question comes from the line of [indiscernible]. Please go ahead. Your line is now open.
Unidentified Analyst: Thanks very much. Just a question on the Air & Sea volumes that yes they were up, but I saw they were up perhaps a little bit less than I had imagined, could you talk about whether there was a bit of weakness there. And also on the Easter effect you mentioned DKK 20 million EBIT benefit in Road where the any affects in Air & Sea and Solutions please?
Jens Lund: Yeah, we are sorry, if we couldn’t met your expectations on Air & Sea volumes. We did the best we could, there is no doubt about the fact that we have - when you compare Q1 to Q1, one have to remember the fact that UTi carried a very weak momentum when we bought them it was as we have talked about many times not a particularly successful company from a financial point of view and that was reflected also on the volume development. So when we take that into respect also the fact that we have to say goodbye to some loss making what you say activity, we’re pretty comfortable and satisfied with the numbers. We look so much forward to the next couple of quarters when the comparisons become not easier about as more like-for-like comparison you can do. These really when you can really compare things is so from the day one we took on all the UTi business onto our IT platform. Then it’s going to be easy like we have done in the past. So we were happy with the numbers and of course, had we combined with a relatively solid development on the yields. We were pleased with the developments. So if you don’t grow so much you would at least hope that you would see a good development on the yield, and if you grow like a lot so say then maybe you can sacrifice more on the yield. When it comes to DKK 20 million, it is primarily to do with the Scandinavian countries we also begin Air & Sea in Scandinavia don’t misunderstand, but you go argue a couple of million to DKK 3 million also in Air & Sea, but it is mainly affecting us in Road, because that there were a more working days in March. March was a good month for Road, 23 working days, five Fridays, which is also something we count and so it impacted us the most in Road.
Operator: Thank you. Our next question comes from the line of Dave Ross of Stifel. Please go ahead. Your line is open.
Dave Ross: Yeah. Good morning, gentlemen. Well, if it makes it feeling better you beat our expectations for volumes in Air & Sea?
Jens Lund: It makes us feel a lot better. Thank you.
Dave Ross: Following up just on the airfreight side, it’s been very strong through in your tonnage of 20% some of that was UTi, but not all of these you’re still gaining market share. As we look around the world, what do you attribute the strength in airfreight to whether it be country specific or product specific?
Jens Lund: There was a lot of things happening airfreight, it is on usually the strong I mean we see the market also growing 6%, which is we can only cross our fingers that it continues. There were some disturbances on some seafreight traffic lanes also that did cause a spike in airfreight there were some services issue, so specifically each pound from Europe to Asia where we could get no traction. We could get no space, no capacity, and that of course led to some airfreight. But there’s also a lot of really planned airfreight where it is actually the traditionally what you say lanes from Asia to the U.S. and Europe, so it’s widely spread that it’s not one vertical or are or any particular country specific that drives it was it was just and we saw it also at the end of 2016, just a strong quarter which is nice to see.
Dave Ross: And then moving from the air to the ground side of things, Road was very solid in the quarter, you mentioned the Europe, we’re not just the Scandinavian countries, but also Southern Europe started to grow again. The global Road system stood at 12% shipment growth, what was the European shipment growth? Do you break that up - like it that separately?
Jens Bjorn Andersen: For DSV, it was 8% and then organically 6%, but the market we say that the market we estimate that the market in Europe gross approximately 3%. So it’s not excessive or anything it’s not out of the normal, but we’ve grown twice the market which we’re happy about. So it’s still quite modest growth rates, but still there is some kind of good sentiment right now, it’s a good momentum. And we also we’ve managed to fine tune also our Road is a good place right now, it’s the division they work well together, they have a lot of new plans, they have a good momentum. So it’s of course, one thing is to feel that, but to sit reflective in the numbers is of course for much more important as Jens said from power point to P&L is not something you brought up there under estimate.
Dave Ross: Lastly, you’re talking to the different division’s manager at Air & Sea, Road and Solutions. Are they seeing the economy or global freight generally pick up as we move into 2Q, and through the rest of the years, I guess ton of business, a positive one at your customers or are there any signs of slowing or concern.
Jens Bjorn Andersen: Take it for what it’s worth. We are not macro economy specialists or experts, but they seems like there and it could also be company specific. We had a very strong quarter. We were very happy. We were there is nothing we would like more than to show some good numbers this is why we go to work every single day. So maybe the positivity is influenced by some company specific developments. But having said that, it seems like the end of 2016 was good, the beginning of this year was good. There’s a certain momentum of course, there’s a lot of geopolitical issues that can concern you and that can scare you. But right now, it’s seems like the markets are better than they have been for a long, long time, which is encouraging. But we are super cautious, we have been disappointed many times in the past as well. But so far looks fairly well, I would say.
Dave Ross: Excellent. Thank you.
Operator: Thank you. And our next question comes from the line of Lars Topholm of Carnegie. Please go ahead. Your line is open.
Lars Topholm: Thank you. Just a brief follow-up question, depreciation in Air & Sea DKK 31 million for the quarter is low compared to previous quarters. Is that on the new level of how should I think about it? Thanks.
Jens Lund: I think it’s the customer relations that if you look, it’s like a decreasing number basically as we go on year-by-year. So I think that’s really been the big swing there. Apart from that there’s no change last.
Lars Topholm: So no run rate?
Jens Lund: Yeah. But you have to you can get it from our team when the IR department it’s like and also if you look at the way we account for. We do it with a percentage every year. So it gets less and less as we go along so it’s a declining figure.
Lars Topholm: Perfect. Thanks, Jens.
Jens Lund: You’re welcome.
Operator: Thank you. And there are no further questions at this time. Please go ahead speakers.
Jens Bjorn Andersen: Okay. If that is the case, we would like to conclude the conference call. Thanks for listening in. Thanks for all your good questions. We really appreciate the interest as you know you’re always welcome to contact Jens Lund or myself or the IR Department, who will not be busy traveling out to speak to investors on Road Shows. We look very much forward to that. And thanks for all the hard working and beautiful people of DSV, you have done fantastic. We really appreciate your efforts. Thanks to all you guys listening in. We will be back with the Q2 numbers when they’re ready after the short holidays, summer holidays here in Denmark and until then, we would say thank you, and bye, bye.
Operator: This now concludes our call. Thank you for attending.